Daniel Fairclough: Welcome to ArcelorMittal's Second Quarter and First Half 2022 Analyst and Investor Call. This is Daniel Fairclough from the ArcelorMittal Investor Relations team. I'm joined on this call by our CEO, Aditya Mittal; and our CFO, Genuino Christino. Before I hand over to Aditya, I would like to mention a few housekeeping items. Firstly, I want to refer everyone to the disclaimers on Slide 2 of the results presentation that we published on our website this morning. I'd also like to remind everybody that this call is being recorded and is scheduled to last up to 45 minutes. [Operator Instructions] And with that, I would like to hand over to Aditya for some opening remarks.
Aditya Mittal: Thank you, Daniel. Good afternoon and good morning, everyone, and welcome to today's call. As you have read, we have reported very strong results for the first six months of the year, $8 billion net income and earnings per share of approximately $8.5. These numbers reflect the hard work and commitment of everyone at ArcelorMittal. Together, we are taking big steps to strengthen, grow and develop our business to position ArcelorMittal for its future as a leader in the decarbonized world. With this in mind, I'd like to update you on the acquisition of the Texas HBI plant we announced in April. The acquisition is now complete. The plant is achieving its rated capacity for the first time. EBITDA is run rating at $200 million, giving us confidence in our normalized projections of $130 million. The plant is very strategic for us for two reasons: First, it will provide a source of low-carbon high-quality metallics from a region that offers highly competitive energy and ultimately, competitive hydrogen. Secondly, this plant will supply the EF capacity we're building at Calvert and is a key component of our 12 million ton low CO2 highest-quality NAFTA sheet franchise. Our agreed acquisition of CSP in Brazil is similarly exciting. It's a world-class, well-invested modern facility connected to a deepwater port, plus we have important synergies. CSP is also an asset with fantastic potential. Like Texas for the U.S., the state of Serra in Northeastern Brazil is a focus for the development of renewable power and hydrogen in Brazil. It gets the most sun and has plentiful wind, both on and offshore. Massive investment has been committed to this region. So looking forward, I see real potential for CSP to be a globally competitive, low CO2 steelmaking hub. Just like AMNS India, I expect we will look back on the acquisition of Texas HBI and CSP very positively. They represent major milestone in ArcelorMittal's strategic development. Together, these acquisitions add $500 million to normalized EBITDA. This is in addition to our organic pipeline of approved projects that are expected to add $1.2 billion to normalized EBITDA. Lastly, while we're growing the business, we're also returning capital to shareholders. So far this year, we have generated $3.2 billion of free cash, 70% has been returned to shareholders and 30% invested in M&A. We're increasing the M&A commitment today, but this is balanced by our announcement to repurchase a further 60 million shares. This is the maximum amount under our existing authority. Our intention is clear. We will continue to return capital to shareholders whilst growing and developing our business. With that, we are ready to take your questions.
A - Daniel Fairclough: Thanks, Aditya. So we do have a queue of questions ready [Operator Instructions] And we will move to the first question, please, from Alain at Morgan Stanley. Please go ahead, Alain.
Alain Gabriel: Thanks, Daniel. Hi, everyone. I have two questions. The first one is on M&A. So clearly, you've bought this asset at around 7x normalized EBITDA, while your own stock is trading at less than 3x next year's numbers. Why did you choose to invest in an external asset instead of buying more of your own stock? And then especially that this increases your group's carbon footprint, I get it, it's a low carbon footprint, but nonetheless, it's still rated your carbon footprint. That's my first question. Thanks.
Aditya Mittal: Sure. So in terms of normalized EBITDA, I would be careful in comparing it to the headline transaction value. I think there are important benefits in the state of Serra. As you know, it's an economic free zone. There are significant NOLs that we have. The level of tax rate is much lower. It's a well-invested asset. So the maintenance CapEx going forward is significantly lower as well. And so I think when we look through this and when we look at what we can achieve as a company, we feel that there is significant value. It creates a lot of options for us. If you look at the steel shop, for example, it's really designed to do 6 million tons. And therefore, as we grow the capacity, the incremental CapEx would be much lower. It has a lot of interesting downstream options for our Brazilian business, whether it is on the long side or on the flat side. It's a growing market, and I spoke extensively about how the state, which it is located, and Serra is very, very exciting from a renewable perspective. Overall, our carbon – this fits into our carbon footprint. It fits into our climate action report. So as we decarbonize our global assets by 25%, and Europe, 30%. This asset fits into that strategy, does not have a markedly different CapEx intensity to the – carbon intensity to the average of our ArcelorMittal. In terms of our shares, look, we continue to highlight that our shares remain undervalued. We see tremendous value creation opportunity in them. We actually spent 70% of our free cash buying back our shares. I mean, since the start of the share buyback program, you can see the significant amount of shares that we have bought back. To put it into context, if you look at first half 2021 net income versus first half 2022 net income, net income increased by 28%, but EPS increased by 58%. We will continue to maintain that policy. We announced 60 million share buyback today, that's a maximum authorization level that we have. So we remain committed to buying back shares, returning capital to shareholders, as well as growing and developing the business.
Alain Gabriel: Thanks. Thanks, Aditya. And my second question is on the buyback. So the $8 billion that was announced today and the $2.2 billion acquisition would take your pro forma above $7 million. So as the CEO of the Group and major shareholder how much appetite do you think there is to quote for an EGM in the second half and to get authorization for more buybacks and do what needs to happen for you to take that step? Thank you.
Aditya Mittal: Yes without giving guidance and getting into too much detail there is lots of free cash flow, right? That's coming in the second half. And it felt that there is no free cash flow in the second half. So we have to offset that based on the uses we have of some of cash. When we look at the overall financial picture, we are very satisfied with our strong balance sheet. We will continue to maintain a balance sheet, which has a net debt level lower than $7 billion. We're very comfortable in that, very confident in achieving that. In spite of these announcements that we have made today, i.e. the acquisition of CSP, as well as the share buyback program.
Alain Gabriel: Thank you.
Daniel Fairclough: Thanks, Alain. So we'll move to the next question, please from Tom at Barclays. Go ahead, Tom. Are you there Tom?
Tom Zhang: Able to hear me, no? Hello?
Daniel Fairclough: Yes, we can hear you now, please go ahead.
Tom Zhang: Sorry about that. Yes, thanks for taking the questions and two from me, please. Both on CSP. The first one, clearly the asset has a lot of these offsetting losses, but they've been generated before by losses from the company historically. Just wondering what you will do differently compared to the previous owners that will bring it back to sort of positive net income because it looks like it's seen some sizable net losses in the last few years. That's the first one.
Aditya Mittal: Sure. Thank you, Tom. If you look at the company, the company obviously went through a ramp up phase, right. So an integrated asset is not always easy to achieve full ramp up. When we look at the business and based on the acquisition price of the assets and the fact that our CapEx level estimated to be $50 million, we see healthy net income here. The average EBITDA for this business has been about $320 million for the last five years, clearly much higher this year, and much higher than last year, 2021 was much higher than this average. But going forward, we expect normalized EBITDA to be $330 million. So I would not have a read through in terms of the NOLs, in terms of future performance. I think you could ask the same question in Serra as well. As Serra add significant NOLs when we acquired the business, but when you look at how the businesses performing, it's markedly different. The same is true of Texas. It has now achieved its design rated capacity. It's actually run rating at higher than normalized EBITDA, clearly very proud of the team down there and what they have achieved so far.
Tom Zhang: Thank you. That's very clear. And then the second one is just you've added just slab capacity. Wondering what your preference would be between adding further downstream capacity, either domestically or in other regions, or closing upstream capacity elsewhere to sort of make the upstream downstream equation balance? Do you have a preference on which one you would rather do?
Aditya Mittal: Maybe I have not fully understood your question. But I would say neither. I think this asset is not precipitating a closure of any asset. Fundamentally what we are doing is as you're aware, we ramped up or are ramping up our investment in Mexico. It's a world-class hot strip mill that we have commissioned in Lazaro. As that ramps up, it will eat up all the slabs that Lazaro has. And therefore as a group, we become slab short. The second advantage when you look at this company is that it has been selling a lot of slabs into the Brazilian market because Brazil remains short slabs and that market remains an opportunity. And then when the Calvert EAF start up, we had the opportunity to go downstream. I think the Brazilian market will be ready for that type of growth, when you look at the demand supply balance for flat products. And we then have the opportunity to do it either here or to do it in Tubarao, and then clearly, there will be extensive discussions internally, and then we will announce. So I think from just an overall slab balance, it fits very nicely into our short-term, medium-term, long-term strategy of our ArcelorMittal. Lastly, I would also add that in Europe, we buy slabs as well. So the shortage or the requirement of slabs in our ArcelorMittal is slightly greater than just what we need in the NAFTA footprint, and this asset is also well located to supply that.
Tom Zhang: Thank you. That's clear. And maybe just one housekeeping, just on the fact that it's located in an export processing zone, you sort of mentioned Brazil, short slab. Is there a material difference in tax treatment if you sell domestically versus export from CSB?
Aditya Mittal: Yes, there are some important advantages. I'll get Genuino to elaborate on that.
Genuino Christino: Yes, hi Tom. Yes, I think the biggest advantage there is that when we sell internally, then we don't pay the VAT. So we get the credits, the VAT credits when we buy the raw materials. And then when we sell that is very small. The effective rate would be more like 1%. So, you retain that benefit in the business. So that's a significant impact. Another important tax benefit that we have there is when we import raw materials also you are not paying the normal taxes, import duties. So from a pure tax point of view, fiscal point of view, you have a lot of good tax attributes over there.
Tom Zhang: Okay. Thank you very much. I'll turn it back.
Daniel Fairclough: Thanks, Tom. So we'll move to the next question from Seth at BNP. Please go ahead Seth.
Unidentified Analyst : Good afternoon. Thanks for taking our questions. I've got two questions. First on M&A again, and then secondly, on supply discipline in Europe. Starting out with M&A when you first spoke back in February about Mittal's renewed M&A interest, it seemed quite confined around green power, and then subsequently, green metallics. And CSP seems to be a pretty big step towards growth rather than either of those first two options. Are we interpreting this correctly? Is this more of an opportunistic move to grow in a valuable region like Brazil? And how should we think about the future M&A priorities? Is the focus going to return to green power, green metallics or Mittal now open to grow? Start there, please.
Aditya Mittal: Thank you for your question. I would say that we were never closed for growth. So a few years ago, we also acquired Essar in India, and that has been growing and doing really well. I think, clearly, as we were decarbonizing, we are also focused on growing in terms of renewable energy, which is attractive to our assets because we have to have certain synergy or operating benefit. That's when we would make the investment as we have done at Greenko in India or acquiring assets which will serve us as we decarbonize our footprint. So I think those were additions to our strategy. Growth is always in the DNA of ArcelorMittal. But I think what's also in the DNA of ArcelorMittal is to maintain a strong balance sheet. I think we have had a past where we didn't have that. And we are very focused on maintaining that strength, ensuring that the balance sheet has a robust level in terms of net debt not exceeding $7 billion so that we remain very comfortable with that. And to navigate our twin priorities within that, returning capital to shareholders and also growing and developing the business.
Unidentified Analyst: Okay. Thank you. And a second question, please, on European supply discipline. We understand that Mittal has perhaps several blast furnaces idled in Europe recently, perhaps Dunkirk and Ilva. Can you talk about the rationale for these outages and current market environment? Is there opportunity for better supply discipline from Mittal or peers having learned lessons in past cycles? And how as we that fixed cost under absorption? Is it also able to access some of the COVID benefit with furlough schemes that helps lessen the blow of lower volumes back in 2020? Thanks.
Aditya Mittal: Yes. I'll just hit the high level points, and then I'm going to ask Genuino to elaborate. But fundamentally, the furnace we took down in Dunkirk, I think, is reflective of what we see in terms of demand, right. So when you look through our release, we are forecasting weaker demand environment in the second half and so it makes sense to reduce our output and not build inventory. Genuino?
Genuino Christino: Yes, Seth. So we are seeing the demand picture in Europe, as Aditya mentioned. So the real demand, even though we – of course, we see headwinds. And based on what we can see today, we are still expecting the real demand to be at least stable, if not slightly positive, right. But you're right. So as we go now, as we head now into summer breaks, as you know, we're going to see seasonality. On top of that, we believe that we are in the middle of a destocking cycle. And what we are doing is we are adjusting our demand to meet our supply to meet demand. And I think coming to the discipline, I think if you look at that, that was released recently by [indiscernible] association, you see the size of the cuts in production by Europeans, not only European, but across the board. It seems to indicate that there is discipline, you'll see cuts across the board. So it seems that everybody is following that, which is a good sign. And then in terms of your last part of your question in terms of fixed costs, I think we have always done a good job in terms of variabilizing our fixed costs. We learned quite a lot during COVID times, right. So it's, clearly, today, we don't have the same schemes that were available to us back in 2020, but in many of these countries, there are different schemes that continue to be available and that we continue to use. A good example is Germany when we can't reduce the working time and adjust the cost base the same way. So I think we feel comfortable that we're going to be able to navigate this crises if it materializes in a very good way.
Unidentified Analyst: Great, thank you very much.
Daniel Fairclough: Thanks Seth. So we'll move now to Alan at Jefferies.
Alan Spence: Thanks. Good afternoon. Two, again, on CSP, and I'll take one at a time. Just the first one, a bit more around the potential to add the rolling and downstream finishing capacity. When do you think you'd make a decision on that?
Aditya Mittal: Yes. So that's on an immediate vicinity. I'd say a few years away. I think fundamentally, the asset will cater to the domestic demand that exists for slabs and help ArcelorMittal bridge the gap in terms of our shortage for slabs, right, which is starting up because the Mexico Hot strip mill is ramping up nicely.
Alan Spence: And on the NOLs. Did I understand that they could be used at the group or the continental level or they ring fenced those assets?
Aditya Mittal: You're right. As we would merge or consolidate, merge these entities, they can be used at a group level. I don't know, Genuino if you would like to add anything on that?
Genuino Christino: Yes, that's basically it. So the tax legislation in Brazil, to the extent that you combine the assets, then it becomes available to the Brazilian entity. So we have one large legal entity in Brazil, ArcelorMittal Brazil. So the natural step for us with which combine the businesses so that we can accelerate the consumption of the tax losses. And as you do that, you would also – so the rest of the business would benefit by a higher rate, which is 34%, which adds more value to these NOLs for the group.
Alan Spence: So it can be used in a Brazilian level, but not, let's say, to offset losses in Kazakhstan.
Genuino Christino: No, that would not be possible.
Alan Spence: Okay, I was checking. Okay, thanks guys.
Genuino Christino: Thank you.
Daniel Fairclough: Thanks Alan. So we'll move now to Patrick at Bank of America.
Patrick Mann: Hi, good day. Thanks for taking our questions. I just wanted to ask on working capital. I mean, 2021 was a build of close to $7 billion and then another $3 billion in the first half. If prices and – if all the prices stay as is steel prices, raw material prices, how should we think about that in the second half of the year?
Aditya Mittal: Genuino?
Genuino Christino: Yes. Patrick, that’s a good point. And what we have been saying, the message continues to be the same. To the extent that you believe that these market conditions that we are seeing right now, they persist throughout the second half, then I would expect the business to release significant amount of working capital in the second half. Yes.
Patrick Mann: Thanks. And then maybe just one follow-up. I mean, looking at Europe, it does seem – well, obviously, everybody is kind of consensus bearish on the outlook. But auto does seem in some ways the supply chain seems to be unblocking a little bit and actually Q3, Q4 in terms of auto’s production looks like it could be relatively decent compared to Q2. Can you maybe just give us a read of what are you seeing there from your customers? Yes. That would be helpful color. Thank you.
Genuino Christino: Yes. I think you’re right. So for the first half, to be honest, and as we have been discussing also consistently, we have not really seen significant improvement in the first half, right? But when you look at the forecast that exists out there, we still see a lot of this forecast showing growth year-on-year in terms of production. Some good signs. I mean, Europe had some – at least during the second quarter, one or two good months in terms of production. So then we get the message that some of the constraints have been resolved. But I think based on our experience so far, it’s good to wait and see, read what happens. But I think that is we can be cautiously optimistic about seeing higher volumes going into the second half, we will see. Yes, I think that is – it can provide some support to the apparent steel consumption as we progress.
Patrick Mann: Okay. Thank you very much.
Daniel Fairclough: Thanks, Patrick. So we’ll take the next question, please, from Ewan at Credit Suisse. Go ahead, Ewan. Hi, Ewan.
Unidentified Analyst: Good afternoon. All questions have been answered on my side. Thank you very much.
Daniel Fairclough: Okay. Thanks, Ewan. And so we’ll skip straight to Rochus at Kepler.
Rochus Brauneiser: Yes. Hi, good afternoon. Two questions. The one is on the capital allocation again. So for the time being, you had kind of a 2:1 in terms of share buyback versus M&A. How shall we think about debt priorities as we are supposed to move towards the recession? You’re saying you want to maintain net debt under $6 billion. How should we think about the moving parts in terms of capital allocation?
Aditya Mittal: Yes. Thank you. Fundamentally, there’s no change to our capital allocation policy, right? We have been maintaining it. And I would – and the design of the capital allocation policy is to withstand cyclicality because we all understand and appreciate that the steel industry is cyclical. And also, I would just add because there are a lot of questions on working capital, there is a level of free cash that gets generated when markets come down due to the working capital release. And at the same time, cash is consumed when markets improve. And so actually, the volatility of cash is not as significant as perhaps earnings volatility. And I think that’s a very interesting point. In terms of capital allocation, we said 50-50, 50% capital return to shareholders, 50% for M&A. That’s what we intend to maintain. The net debt target, I think, I heard you say $7 billion – sorry, $6 billion. It’s our idea is for it to be lower than $7 billion.
Rochus Brauneiser: Okay. And then on the volume outlook for the second half, I think it’s clearly mentioned by you guys that you’re seeing economic activity go down in most parts of the world. Second quarter was already a rather soft quarter in terms of volumes. How should we think about the seasonality in the second half, particularly Europe in Q3? And what is your read on China and the market situation in China for the rest of the year?
Genuino Christino: Yes, Rochus, let me take the first question. So you’re right. So in terms of volumes, I mean, I think we spoke already about Europe, the seasonality, the destocking that we are experiencing. I think that’s not so much in some of the auto markets where we operate. So in terms of volumes, my expectation is that we’re going to see volumes relatively stable in our NAFTA division, Brazil as well. Perhaps a little bit less exports from Brazil given the international prices. But overall, my expectation is to see shipments over there also will be relatively stable, and we should see shipments actually improving a little bit in CIS as we face the strike in South Africa. So that should provide some support to shipments as well. I would just say that – so when you look at H1 against H1 of last year and you exclude the losses that we had in CIS, I think we did well. You see an increase in shipments year-on-year. So let’s see how we do in the second half. But – and as we discussed, so the real demand continues to be at least flat to a small positive. So I think we can also take some comfort from that. Yes. And then China, I think we all know, I mean, it’s been really impacted by COVID, by the lockdowns. I think there is an expectation that the markets will improve. The government has announced significant investments, incentives. Of course, that takes some time. I think we’re not going to see that probably in the very short time. But I think I would expect to see some of that already impacting Q4 and hopefully also 2023.
Rochus Brauneiser: Right. So you’re not really worried about the margin levels in China, which apparently according to my data or at least the margins are kind of as bad as they were in 2016 or 2017? So you’re not seeing that there’s a fundamental shift.
Genuino Christino: No, I think that’s a good point. And given where spreads are in China right now, it’s fair to say that there is not a lot of money being made by the steel mills in China. Normally, when you see that, it doesn’t tend to last, right? So we start to see also production cuts, maybe not yet enough, we have to see how it evolves now as we progress. I think the government, the Chinese government has made also very clearly the point that they don’t want to see production increasing. I think there was a good upcharge for the Chinese mills, and that’s perhaps why we saw some higher exports in the last two months. And we have – it’s clearly something to be paying attention. We will continue to see how that evolves. But again, it’s not our expectation that we’re going to see structurally higher levels of exports from China.
Rochus Brauneiser: Great. Thanks clear. Thank you very much.
Daniel Fairclough:
. :
Nina Dergunova: Good day. Thank you very much for presentation. Two questions from my side. The first one, can you share your thoughts on your approach how to minimize the effort from ongoing energy supply crisis in Europe? Can you share any scenarios that you’re reviewing under recent development of energy prices?
Aditya Mittal: Sure. Nina, maybe I’ll start at high level, and if you need more details, Genuino can obviously supplement very well. In terms of our strategy, we are unique in Europe because we’re multi-unit multi-country. And that gives us a lot of flexibility because as you appreciate, the energy crisis is not uniform across the European continent. You have different power prices, as an example. And different availability of natural gas that may happen in the medium-term. When we go through our scenarios, what we are trying to do is minimize the use of natural gas if there is lack of availability or price has continued to spike and transfer some of that production to facilities, which have coking coal as the energy source or fuel oil as an energy source. And we have run through simulations. And as a result of the simulations, we feel very confident that we are able to supply our customer demand. So we do not expect to have operational disruption as we go through this energy crisis. Clearly, there will be a transfer of tonnes, transfer of production and all of those activities that we will have to undertake, but we do not expect to create customer disruption. It’s a whole different discussion on what happens to customer demand, what happens to their facilities because, clearly, there could be supply chain knock-on effects. And the energy crisis, I think is more serious from our perspective just in terms of what happens to end demand, but not as serious in terms of our ability to supply.
Nina Dergunova: Understood. So you can play with supply from different plants like keep it in different parts of Europe to ensure stable supplies to customers, right?
Aditya Mittal: Exactly.
Nina Dergunova: And the second question on CSP acquisition. Could you advise what is the current capacity utilization of the plant? And what was the construction CapEx when it was built and what the placement cost to be in your view?
Aditya Mittal: So excellent questions. You should refer to the website, the CSP website on what was the construction CapEx. I would argue that replacement costs would be very similar, if not higher than construction than what they spend. So that would give you a sense of what is the capital invested or required to build such a facility. In terms of capacity utilization, it’s more or less running at design capacity. So the operation is doing well. And EBITDA levels, as I mentioned earlier, are actually much higher in 2022 and have been higher in 2021. But clearly, as we know, these have been elevated spreads. So as spreads normalize and we talk on our synergies, we get to a normalized EBITDA level of $330 million.
Nina Dergunova: That is clear. Thank you.
Aditya Mittal: Thank you.
Daniel Fairclough: Thanks, Nina. So we’ll move now to Andrew of UBS.
Andrew Jones: Hi. Just trying to ask a question that just fundamentally in terms of – I think you just touched it slightly in a previous question. But with the blast furnace that you buying here, you’re probably going to have to replace it in 10 years or so anyway. I would assume that it will be cost about $2 billion or so to build that. I mean, why not do it now rather than wait for 10 years to do it, and so that rather than buying it outright, why not still? That would be my question. And then just secondly, on some of the other aspects for 3Q, just some guidance on the different divisions and where you see the evolution in terms of volumes, potentially prices and spreads. Just a little bit of guidance division-by-division would be helpful. Thank you.
Aditya Mittal: Yes, thank you. In terms of building, I think I don’t want to comment on the building costs. I think I answered it earlier. I think you can go to the CSP website to get a sense of that. In terms of the future of CSP, as you know, ArcelorMittal in its decarb journey has three paths to decarbonize. The first is your hydrogen DRI EAF path. The second, we call it, Smart Carbon. That is fundamentally utilizing the blast furnace and applying technologies whether CCU, CPS or different injection technologies or different gas-based technologies to reduce the CO2 footprint. So clearly, that remains an opportunity for this business as well. If in case Smart Carbon, let’s assume Smart Carbon, in your scenario, not in my scenario, necessarily does not work out, then when you do acquire such an asset, you are still getting all the land, the infrastructure, the connection to the port, the steel shop, slab casters, all of the utilities, raw materials, offices, all of that has already been built. And that doesn’t need to be adapted. The only thing that needs to be adopted is theoretically the steelmaking, i.e., the blast furnace, the hot metal unit. So the cost would be different than what it would be to build. And it’s not necessary that you have to go down that path. And so I think that is why we remain interested. We think we can bring our technology, our capability and there are important synergies with this asset. I’ll get Genuino to answer your question on third quarter and what we are seeing. Thank you.
Genuino Christino: Andrew, I think we touched on some of the drivers already. But let me repeat. So if I – again, if I start with shipments, and we talked about Europe and the seasonality should expect that the destocking that is happening. In other regions, my expectation is for shipments to be more stable quarter-on-quarter. That’s true for NAFTA for Brazil. We should be improving a little bit in CIS because of South Africa, the impact of the strikes that we had in South Africa. So in terms of prices and spreads, I mean, we’re all seeing what has happened after the initial shock from – coming from the war. I mean, we have seen prices spreads correctly, especially from May onwards. I think prices, they seem to have stabilized in parts of the regions, especially in Europe, at least for the last couple of weeks. But clearly, that will have an impact on our results in quarter three. Prices have corrected, but we should also keep in mind that raw materials have corrected also quite significantly. We will start to see the benefits of that as well as we work through the inventories that we have in our books on a weighted average basis. Yes, I think that’s in a nutshell how we are seeing things, spreads normalizing, volumes relatively stable in most regions with the exception of Europe. I think that’s the main moving parts, Andrew.
Andrew Jones: Yes, that’s clear. And can I just ask one follow-up on the first question. Just from demand, if I look at ArcelorMittal’s EBITDA ratio over time, used to trade on 5 or 6 times, now it’s 2 to 3 on a mid-cycle basis. Clearly, the sector overall is derated. It seems like with these acquisitions, you’re willing to pay multiples we’ve seen in the past in terms of elevated multiples like 7 or 8 times in the case of the HBI plant so 6 or 7 times in the case of ACIS, we have an offset, but still clearly more expensive than your own stock. I mean, when you approach these acquisitions, do you account for the same sort of discount derating of these sort of assets that the rest of the market applies to your share price not that of your peers?
Aditya Mittal: Yes, look, that’s a great question, because we don’t apply a discount or derate to these assets because we expect finally the market will appreciate the value inherent to ArcelorMittal. And that is our effort on a daily basis. That is what we remain focused on. That is why we continue to buy such a large volume of our own shares. And I think all of that is not making the impact that we desire, but I do expect it will make the impact that we desire in the medium term. These assets also remain very important to the future growth of this company. I talked about it right at the beginning of my opening remarks. But to give you a flavor, post Texas and post the EAF and Calvert, as you know, we are decarbonizing our business in Canada. We will have a high quality, I believe, the highest quality sheet business in NAFTA automotive capable without using coal, right? There will be no call in our 12 million tonnes of capacity, because Mexico is already DRI + EAF, Calvert is moving to DRI + EAF, and so is Dofasco. So this is a footprint that can use renewable energy to decarbonize the EAF. And on top when hydrogen is competitive and available, we can use hydrogen. And we clearly believe that you need pure iron ore to meet the demanding standards of automotive. And we have that capability at competitive cost. So that gives you a flavor of why Texas is important, apart from the fact that it generates good EBITDA today, higher than your multiple number because today it’s run rating at $200 million. In terms of CSP, I think we talked about the stand-alone asset value quite a lot. In the Northeast states of Brazil, state of Serra, the renewable assets, the fact that the assets are world-class well invested, but it also fits very nicely into our Brazilian strategy. I think we alluded to some of those highlights on what we can do in terms of future expansion and in the short to medium term fits very nicely into our slab strategy as well. So there are other strategic benefits that are coming, but that’s not the main driver for these acquisitions. Obviously, the main driver is, on an overall basis, it is creating value, and we do believe it is. And we’re navigating this without reducing the level of capital return to shareholders. So we’re very conscious of maintaining the 50% level. We think it’s excellent value. Actually in the first half, we did 70% of free cash flow was used to buy back shares. So that is what we are trying to achieve.
Andrew Jones: Understood. Thank you.
Daniel Fairclough: Thanks, Andrew. So we’ll move now to questions from Phil at KeyBanc. Go ahead, Phil.
Phil Gibbs: Hey, good morning. How does the acquisition of CSP fit into the strategy in Mexico and/or Calvert? Is that going to be part of your – you call it your North American supply chain long run?
Aditya Mittal: To some degree, yes, because in the long run, we will remain short slabs in North America, primarily because of Calvert. Not so much, but they will remain a short slab. So, if I were just to walk you through it, today it fits in because, as you know, Calvert doesn’t have any EAFs. So Calvert is buying about 5 million tons of slabs. And Mexico was one of the key suppliers along with our Tubarao asset. As Mexico ramps up its hot strip mill, that level of slab supply into Calvert is no longer available. And therefore, CSP fits quite nicely into that strategy of supplying slabs either to other customers of Tubarao in Mexico, and they can focus on Calvert. But fundamentally, that’s how it fits in. In terms of going forward, as Mexico fully ramps up, Calvert ramps up, Calvert will still be short slabs. And either Tubarao or CSP will have to go downstream. So as one of those assets go downstream, there still is a supplier that needs to continue to supply slabs to Calvert. So anyway, just trying to provide you with the flavor of how it fits into our NAFTA strategy.
Phil Gibbs: I appreciate that. And then just in terms of a follow-up in North America, the automotive market, you’re still a very big part of that clearly through your JVs and through Canada and to a lesser extent, Mexico. What are you seeing in terms of the signposts for the second half? There’s been a lot of fits and starts, obviously, over the last few months. Thank you.
Aditya Mittal: Yes. I’ll ask Genuino to take that question.
Genuino Christino: Yes, I think we touched on this point earlier in the call as well, Phil. So, I think the first half, as you know, so the OEMs, they continue to struggle, right? The volumes, we didn’t really see volumes increasing so much, right? And I think there is some expectation to see some improvement in the second half. But again, we have to see – to wait and see whether they can really get their own issues resolved. I think there is still an expectation that there will be an improvement year-over-year. So, I think that it’s create some opportunities for our business in the second half to the extent that it materializes.
Phil Gibbs: Thank you.
Daniel Fairclough: Thanks Phil. We’ll move now to Grant at Bloomberg Intelligence.
Grant Sporre: Good afternoon everybody. I have two questions, please. The first one is just on the HBI plant. And Aditya, you kind of alluded to it, but you – the facility as far as, since I’ve been covering it hasn’t really been generating that much EBITDA. And you partly sort of been owners of it for very long and now it’s generating, what, $130 million on a normalized basis. Can you give us some sense? Is it just a matter of timing that it was – it’s now just reached its full capacity? Or did you actually go and do something and change something to get it to that level? That’s my first question. My second question is just on the decarbonization strategy for CSP. So just so that I understand it, obviously, there’s a potential for low-cost green hydrogen. If that were the case, would that then entail you to replace that facility with the DRI + EAF facility? Or would there be some other clever way of injecting hydrogen directly into the blast furnace as an example? I just want to understand the technicalities of it all or what your approach is. You’ve kind of alluded to it, but I just want to make sure I’m clear in my own mind how you’re going to go about it. Thank you.
Aditya Mittal: Sure. Grant, look, excellent question. I think the timing has been helpful in terms of the Texas acquisition. So if you looked at second quarter EBITDA, it was much higher than the run rate I have spoken about. Actually, second quarter EBITDA was $84 million for this asset. So clearly, when you look at metallic values and what’s happening in terms of scrap, there has been a depreciation of that value relative to, I guess, iron ore costs. Energy prices also remain elevated. U.S. energy is attractive relative to global energy. So there are certain trends which are supporting that acquisition. But I think the key has been to achieve nameplate and design capacity because when an asset is not at nameplate design capacity, it’s very difficult to make adequate returns. The team there has done a great job. Clearly, we’ve had a lot of interaction as we did the due diligence on what are the areas that we need to focus on. But I would give credit to the team down there on achieving nameplate capacity. And we will continue to drive improvement because, as you know, we are the world’s largest producer of DRI in the world. So, we have a lot of expertise and knowledge in this area, and we will bring that to bear. And if the megatrends we don’t see materialize in terms of metallic pricing or gas value, then you have a normalized EBITDA. So far, we are run rating at higher levels than that, but that is the base case on a normalized spread level. I would just add that we also own 100% of future expansion in that facility, because the [indiscernible] ownership is on the existing plant, the existing HBI plant. The rest of the land, the port, there's a lot of land there belongs to ArcelorMittal. In terms of CSP and decarb, look, I think you asked a very good question. So when you have low-cost hydrogen available, I think there are two things that we could do theoretically. The first is we could install a new DRI + EAF facility hydrogen-based to take full advantage of the metal shop capacity, which, as I mentioned earlier, is around 6 million tonnes. And we could look at the existing blast furnace and see what we can do in terms of Smart Carbon capability to decarbonize. I think you alluded to an idea of using hydrogen in the blast furnace. That's still a design – that's still an R&D project. Companies are experimenting with that. So if that comes to fruition, then that becomes a very natural segue to decarbonize blast furnace. So you could do something in terms of Smart Carbon to the existing asset, and you could also build a new asset which would be on the DRI + EAF. So in a combined basis, we think it's an interesting place to be where you have access to these low-cost hydrogen. I mean, when we look at the global cost curve of hydrogen, clearly, the Northeast of Brazil stands out. And you can dovetail that with a steelmaking asset, which is well invested and create a low cost, low carbon steel making hub.
Grant Sporre: Thank you very much for that answer.
Daniel Fairclough: Thanks, Grant. We’ll move now to now to Bastian at Deutsche Bank.
Unidentified Analyst: Yes, good afternoon and thanks for taking my question. I want to have two quick ones left. And I would go back to CSP, if that's okay. Can you maybe give us some color on the terms you have agreed to here, i.e., who will own the cash flow between was just generated between now and the time of closing? I imagine that could be quite significant given the working capital fluctuations, which we've seen in your parent company as well. That is my first question.
Aditya Mittal: Genuino, please.
Genuino Christino: Yes, Bastian. So I think it's a little bit early to talk about some of these details. I think what you should take is that the EV is $2.2 billion, right? And so this is – so we're going to be acquiring this company debt-free. So that's how far we go now. So we still have to go through the approval process and everything. But our expectation is that, on closing, that's the view for us, $2.2 billion.
Unidentified Analyst: Okay. But I take it as this is not yet finally locked down, is that correct? There's still some flexibility in there?
Genuino Christino: Yes, I think that's a fair assumption. That's a fair assumption, Bastian, but I think that's our expectation, that expectation of the sellers as well. So I think there is a high probability that that's where we're going to be lending. But there is not a lot of lending. But there is not a lot of variability here. So it's not that it can be – it can changed significantly, okay?
Unidentified Analyst: Got you. Then my second question is just on the client and commercial structure. Are there any long-term supply agreements which you still have to honor? I'm talking about agreements in the same fashion as you had with Ternium and Calvert.
Genuino Christino: No, not really. So CSP will have – so we have a supply agreement, an iron ore supply agreement with Vale [ph] that will continue. But that's for the raw materials, which is the same contract that exists today. But that's it. There are no other long-term agreements in place.
Unidentified Analyst: Okay, understood. Thank you.
Genuino Christino: Thanks, Bastian. [indiscernible]
Unidentified Analyst: Yes, good afternoon. I would like to know if it's possible to have an update on the situation in Ukraine and Kazakhstan. Because in Kazakhstan, you have relaunched exports to Russia. So I wondered whether you would be able to get back to former levels? Or if it's not the case, whether, I mean, you're more advanced in terms of displacing exports to other countries? And in Ukraine, you are trying to diversify your procurement away from Russia. I wonder whether you had made any headway and whether, I mean, we could expect in the coming months to relaunch, I mean, a ramp-up, a further ramp up of production there, I mean, which is now very much focused on bigger one and if that could move to some finished products, I mean, anytime soon? And if you could provide a time frame for that. Thank you.
Genuino Christino: Yes. So why don't I start with Ukraine. So I think the situation has not changed much since we last spoke about it in our Q1 results. So we continue to run the mining operations at about 50% to 60% capacity. We have one furnace operating, so that's about 20% of the capacity. We have since we started some ruling activity as we had inventories of billets. So that is also part of the setup today. Most of the core for this capacity, of course, which is limited, it's being sourced locally, domestically in Ukraine and a bit also coming from Poland. So I think that it's okay. I think it's early to talk about going beyond that. We have to see. Logistics continue to be a significant challenge. So we are observing how it evolves, how it develops. Also the fact that market prices have also correct to put some more pressure. So I think we, for the time being, we are not anticipating significant changes in the footprint over there. When it comes to Kazakhstan, as we know, Kazakhstan, Russia, they are part of the same economic zone. So Kazakhstan is competing that economic zone. So we have started some shipments in this area again. But it's fairly limited at this point. And yes, so that's really where we are competing in this economic zone.
Unidentified Analyst: Okay. Okay. And secondly, I mean, you highlighted that around 33% of your European footprint was vulnerable to get supply issues. And I mean, on this 33%, I mean, what's the share that could still work without gas? I mean, using alternatives or using, I mean, no gas from the beginning? And what you share that could be potentially displaced to the countries, I mean, in terms of production, could we think like that?
Genuino Christino: So in Europe, I think, I did talk quite a lot about it. The fact that we are multi-country, we have multiple sites that we feel comfortable, that we're going to be able to meet the demand, right? And the dependence of Russian gas in Europe, it varies from country-to-country, right? It's more pronounced in Germany, in Poland, less so in some other parts of Europe. I think our focus is trying to minimize the level of gas that we consume. And I think the business has done well. So I think I would summarize that we feel comfortable that we're going to be able to meet demand. There are uncertainties, of course, depend on how the situation evolves. To the extent that it destroys demand, we have to wait and see. But I think ArcelorMittal will be in a position to continue to help customers get the products that they need.
Unidentified Analyst: Okay. But it would be a bit farfetched to imagine production in Germany or Poland being shifted to other countries, no?
Genuino Christino: Yes. Go ahead, Aditya.
Aditya Mittal: So I think Genuino you're going to say the same thing as me. But it's really the downstream that normally requires additional gas, right? It's your reheat furnaces at the hot strip mill or in front of the cold mill, not so much in reheat, but just generally in the process. So we could move slab elsewhere, I think that's the point.
Unidentified Analyst: Okay. Thank you.
Daniel Fairclough: Great. Thank you, Max. So we'll move now to – we've got about five minutes left. So we'll take the next question from Myles at UBS.
Myles Allsop: Great. Thank you very much. Just a couple of quick questions. First of all, on the buyback. How are you going to manage the intensity of the buyback given where the share price is? And in terms of increasing the authority, if you've got $10 billion of working capital at good flow back, clearly, you can stay below $7 billion. How straightforward is it to increase the authority to do another buyback, say, in three or six months' time? That's the first question.
Genuino Christino: Myles, so in terms of the speed, as you know, we're not going to comment on that. I would just remind everyone that we do have limitations in terms of how much of the free float that we can buy, depending on how the share price evolves. We can also not cross it in averages of the last days, 30 days. So there are some technical limitations that we have to observe. And other than that, we have the flexibility to execute, right? When it comes to authorization for extra buyback, we'll see when we get there, right? So 6 million shares, it's a big number, right? That's about 7% of our outstanding share count today. So I think the focus right now is to execute on that. And when we cross that line, we will take a decision. We can do it quickly. I mean, Aditya already mention, so normally, the process requires 30 days notice, and we can do it. And it's always good to have this flexibility. So to date, when we get there, I think we will be considering calling an AGM to replenish our authorization limits.
Unidentified Analyst: Okay. That's helpful. And then with the destock in Europe, what's your best guess in terms of where inventories are and how long this can last? Obviously, it can be quite a major driver of how spreads and prices move. But where do you think we are in the destocking cycle in Europe?
Genuino Christino: Yes. That's a good question. While I was – look, I think our expectations is that basically, we have to wait and see once activity picks up again after the summer break. When we look at inventories across the chain, the supply chain, our view is that it's not excessive, right, which is a good thing. So the ability of customers to wait and not buy, we believe it's relatively limited. I would also point to the fact that the arbitrage that existed has basically closed, so it's much reduced. The fact that when you look at Asian price, as you look at European prices and you put that – you put the logistic costs today, the incentive for imports have come down significantly. The fact that the euro has also weakened put some pressure also on imports. Everything just gets more expensive, right? So I think there are some good points. We are seeing, again, some – the prices in Europe has been relatively stable over the last couple of weeks. The international price is, to some extent, showing some signs of normalization. We talked about the lowest brands that the Chinese mills are earning today, probably burning cash to some extent. So I think there are some good data points as well that can point to, hopefully, a pickup in activity as we come back from the summer holidays in Europe.
Unidentified Analyst: Great. Thank you.
Daniel Fairclough: Great, thanks Myles. So we'll move now to Moses at JPMorgan.
Unidentified Analyst: Hey, thanks for answering questions. Most of mine have been answered already. But I just had a quick question on CapEx. So the guidance has come down ever so slightly, but you've still seen a meaningful step-up in H2 CapEx of about $3 billion. So are there any risks of that being deferred into 2023? And what are you thinking in terms of your decarbonization CapEx outlook if there could be perhaps maybe a step up there as well?
Genuino Christino: Yes. So you're right. I mean, and that's very typical. If you go back and you look at our, call it, our CapEx seasonality, it always starts a bit slow in H1, and then it accelerates. It's just the cycles as we prepare the budgets, we get these projects approved, and then the units start committing the capital. So it's just normal for us to be spending more in the second half than in the first half. So we will update you based on the forecast that we have in front of us today. We feel comfortable that we're going to be adding to the 4.2. But if not, we will, of course, update you as we progress. Then in terms of your guidance for decarb. I think we have been also talking about it, right? So we have started this year. So we have in our 4.2 and lot [indiscernible] 0.3 for decarb. Our expectation is that as we continue to progress with our projects that there will be natural increase of the spend as we progress. We have guided for 35% of the $10 billion to be spent by 2020, 2025. So I think if you simply divide that by the remaining three years that we have in front of us, then the $300 million on a gross basis should lead to about $1 billion of decarb and over the next three years. And that's, of course, before any contribution from – so that's the gross number. So we hope that the net increase should be more moderate. And then the other components, I think you have the maintenance that should not change much, right? And then you have a lot of details on our strategic growth projects that we continue to execute. And I think you can get a good guess on that number, and it's not changing at this point.
Unidentified Analyst: Great, thank you.
Daniel Fairclough: Great, Moses. I'm very conscious, Aditya and Genuino, we know that we've gone quite a chunk over time. So I think I'll draw things to a close there. Obviously, there's been a lot of ground to cover on the call today, some very exciting developments. And if anybody does have any follow-up questions, please do reach out to me. I'm, of course, available to address those. So otherwise, thank you very much for dialing in to today's call. Thank you for your interest and attention, and we all collectively wish you a very happy summer. Thank you.
Aditya Mittal: Thank you.
Genuino Christino: Thank you, everyone. Bye-bye.